Operator: Good afternoon, and welcome to Rigel Pharmaceutical Third Quarter 2015 earnings conference call. All participants are in a listen-only mode. [Operator Instructions] I would like to remind you that this call is being recorded for replay purposes on Rigel's Web site. And now I will turn this call over to our first speaker, Dolly Vance, Rigel's Executive Vice President, Corporate Affairs and General Counsel.
Dolly Vance: Hello, and welcome to our quarterly earnings conference call. The third quarter 2015 financial press release was issued a short while ago, and can be viewed under the News section of our Web site, www.rigel.com. As a reminder, during today's call we will make forward-looking statements regarding our financial outlook, the progress, timely execution, and timing of the reporting data from our clinical trials, the progress of our clinical programs, and our transition into a commercial state company. These statements are subject to risk and uncertainties that may cause the actual results to differ from those forecasted. A description of these risks can be found in our most recent quarterly report, in form 10- Q on file with the SEC. Any forward-looking statements are made only as of today's date, and we undertake no obligation to update these forward-looking statements to reflect subsequent events or circumstances. At this time I would like to turn the call over to our CEO, Raul Rodriguez.
Raul Rodriguez: Thank you, Dolly. And thank you for joining us today. We've had a very good quarter at Rigel. We've made significant progress in enrolling our fostamatinib phase 3 trials in ITP, and in other clinical areas for the product. So we'd like to share those with you today. I will then turn the call over to Ryan Maynard, our CFO, who joins us for a financial update. We are driving the enrollment of our phase 3 clinical trials in ITP. One of the studies is already more than 75% enrolled, and we are expecting to have top line data from that study in the middle of 2016, and data from the second study shortly thereafter. In the meantime, teams here at Rigel are preparing the NDA application that will follow. As you may know, in September, the FDA granted our request for orphan drug designation for fostamatinib for the treatment of ITP. This designation is for molecules that are in clinical development for the treatment of diseases affecting a fewer than 200,000 patients in the U.S., this designation may provide numerous benefits to Rigel. Also in the third quarter, we signed a license agreement with Aclaris Therapeutics for certain Rigel JAK inhibitors for the use in dermatology. This new partnership advances an opportunity outside of Rigel's areas of focus, and provides useful revenue to the company. Aclaris will explore the potential of JAK inhibition as a treatment for alopecia areata, and other skin disorders. They are an excellent company, and we look forward to their progress. I will now ask Ryan to review the third quarter financial results for you. Then I will return to share additional updates, and allow time for questions.
Ryan Maynard: Thank you, Raul, and good afternoon everyone. For the third quarter ended September 30, 2015, Rigel reported a net loss of 6.7 million or $0.08 a share, compared to a net loss of 20.9 million or $0.24 per share in the second quarter of 2014. Contract revenues from collaborations were 13 million this quarter, and this was primarily the 8 million upfront payment from Aclaris that we received in the third quarter. Revenues this quarter also included 4.8 million from the continued amortization of the upfront payment from Bristol-Myers Squibb. There were no contract revenues from collaborations in the third quarter of 2014. We reported third quarter 2015 expenses of 19.8 million compared to 21 million in the same quarter of 2014. This decrease was primarily due to savings in our facilities costs, offset by an increase in our development cost related to the phase 3 trials with fostamatinib. In August, we entered into a controlled equity offering sales agreement with Cantor, where we may sell through Cantor up to an aggregate of 30 million in shares of our common stock. As of today, we have not made any stock sales under this agreement. As of September 30, 2015, we had cash, cash equivalents, and short term investments of 134.4 million compared to 143.2 million at the end of 2014. We expect to end this year with cash and investments in excess of 115 million, which translates into a net burn for the year of less than 30 million. Our current cash takes us into Q2 of 2017. Now, I will turn the call back over to Raul.
Raul Rodriguez: Thank you, Ryan for that update. During our last call, I spoke about our plans for fostamatinib in addition to ITP. This is the fostamatinib lifecycle management strategy. The next important project we have in the works for fostamatinib is aimed at treating autoimmune hemolytic anemia, a blood disorder for which there is no approved treatment options. Our experience with fostamatinib in ITP, also a blood disorder, provides a synergistic connection for branching into autoimmune hemolytic anemia. This is an area where patients are largely underserved, and where we may have an opportunity to make a significant impact on their lives. Given this synergy, our substantial safety experience with fostamatinib, and the large medical need in this disorder, we believe we can make -- quickly move into this indication for fostamatinib. Our team is currently working with clinicians to design a proof-of-concept phase 2 study for this indication. And we expect to open enrollment for this trial in early 2016. We continue to enroll patients in our phase 2 IgA nephropathy study. We have now focused this study substantial. Our objective is to enroll approximately 25 patients, and to demonstrate a directional benefit for fostamatinib in IgA nephropathy. As you may know, the prevalence of IgA nephropathy is substantially higher in Asian countries, approximately 5 times higher than that in the U.S. or Europe. We have now opened up centers in Asia to advance enrollments in the trial. With a positive signal from this more focused phase 2 study, we hope to establish a partnership for the Asian markets. This will then better position us to execute on a larger clinical trial for this disease. As you may know from previous calls that Rigel collaborators are planning clinical studies to independently evaluate fostamatinib's potential [indiscernible], graft-versus-host disease, and ovarian cancer. We will issue updates on these projects and additional ones as they become available. So in summary, we have made very good progress this quarter in advancing our key objectives, enrolling the fostamatinib ITP phase 3 program, setting up the upcoming phase 2 proof-of-concept trial for autoimmune hemolytic anemia, and focusing our IgA nephropathy phase 2 trial. In addition, we extended our cash runway; in all, a very good quarter. So with that, I'd like to open it up for your questions.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Yuko Oku from JPMorgan. Your line is now open.
Yuko Oku: Hi, I am on the call for Anupam Rama. I was just wondering when we may hear updates for the combination strategy with the immuno-oncology agent?
Raul Rodriguez: As you know, we're focusing on several immuno-oncology programs, and in addition to fostamatinib, we are working on an IRAK inhibitor program. And what we like about the various approaches that we have IRAK and SIK inhibition with fostamatinib is that it allows us to combine several of these assets, and allows us the optionality of doing so. And as we make decisions in terms of how we're going to proceed clinically with those, we're going to come back and give you some updates, most likely in the first half of next year.
Yuko Oku: Great. Thank you.
Operator: And our next question is from the line of Eun Yang from Jefferies. Your line is now open.
Eun Yang: Well, thank you. So, the patient enrollment in ITP trial, it seems to be going really well, over 75% patient have been enrolled in one study. You mentioned the second trial enrollment completion generally shortly after mid 2016, so question to you is, are you still on track to file NDA by end of 2016?
A -Raul Rodriguez: Thank you, Eun. Yes, we're very happy with the enrollment in the ITP trial. 75% is a good achievement. And we're beyond that now also. So kind of can see the completion line as some point in the near –- very near future, so very happy with that. The second one is trailing that. There is likely to be two separate announcements with the two trials. One, and then the other, given that there is a gap between the two. And I think, at this point, we'll have to come back to you exactly when we would file the NDA. But it will probably be within six months of that. So, it's either towards the end of the year or early next year.
Eun Yang: Okay. So this first trial in which over 75% of patients has been enrolled, is that enrollment completion is like by year end or by early next year? Is there any [indiscernible]?
A -Raul Rodriguez: I think our best guess would be early next year; very early next year.
Eun Yang: Okay, all right. And then the second indication for autoimmune hemolytic anemia, 25 patients in Asian countries, so first of all, what's the kind of -- what's the endpoint that you're looking at? And once you're starting the first quarter [ph], when do you think we would see the data?
A -Raul Rodriguez: So, the autoimmune hemolytic anemia trial, we think we'll start -- we'll begin enrolling in early '16 -- early next year. And we're aiming for about 20 or so patients in that proof-of-concept study. And it's hard to forecast exactly the timing on that, given that we really haven't enrolled the patient yet. But, we are looking at a relatively modest number in 20 patients. So, we -- hopefully we could do that rather quickly. But, we don't yet have a good estimate on the exact readout of that.
Eun Yang: But then in the past, you mentioned that there are some medical centers where they see a lot of autoimmune hemolytic patients, anemia patients that you can actually enroll the patients pretty quickly. So, I'm wondering why you decided to go to Asian countries, I mean, I understand the number of patients but…
A -Raul Rodriguez: Two different indications, so autoimmune hemolytic anemia, there are a very good number of patients here in the U.S., and some centers they have a high number of patients in that area, and there is one that we are going to initiate in early part of next year. This is autoimmune hemolytic anemia. And IgA Nephropathy is where we went and opened up Asian centers, that's the trial that's already under way.
Eun Yang: Oh, I see. I am sorry. I missed out.
A -Raul Rodriguez: Yes. So that trial IgA Nephropathy, it's going to be targeting about 25 patients. We are already well underway towards that goal, and we hope to have those patients done in the first part of next year. We will give you a better estimate in terms of the readout as early next year -- as we get to early next year.
Eun Yang: Okay. Thanks. And then last question is on Bristol-Myers Squibb collaboration. Where do you think you are in the process of now you've got the BMY, in the process of nominating an IND candidate?
A -Raul Rodriguez: Well, we have a good sales team at the BMS and a team here at Rigel working on that and profiling the molecule that we gave them as part of that collaboration. And it's really in their hands when they decide to do that. So, I hate to speak on their behalf when that will happen. We are looking forward to that happening, and there is a lot of activity around that, but I can't give you a clear guidance just yet.
Eun Yang: Okay. Just one more if I could, so the autoimmune hemolytic anemia, you are looking at the increases in hemoglobin levels?
A -Raul Rodriguez: Yes, increases in hemoglobin levels would probably be the primary endpoint of that, and it's an area that there is such a tremendous medical need there that I think what I hope is that with this proof-of-concept, it will be an open label phase to that study. We will be able to see benefit in those patients by having that very objective measure hemoglobin levels measured, and we would be able to determine that. We are having a benefit, and then after that very quickly move into a larger clinical program obviously in consultation with the FDA and how best to proceed quickly in autoimmune hemolytic anemia.
Eun Yang: Okay. Thank you.
Operator: [Operator Instructions] And I am not showing any further questions in the queue. I will now turn the call over to Mr. Rodriguez for final remarks.
Raul Rodriguez: Well, thank you all for your time today. I think it's been a good quarter for Rigel. We look forward to keeping you informed about our progress, and some very exciting announcements next year. So until then, have a good holiday season.